Operator: Good day, and welcome to the Essex Property Trust First Quarter 2023 Earnings Conference Call. As a reminder, today's conference call is being recorded. Statements made on this conference call regarding expected operating results and other future events are forward-looking statements that involve risks and uncertainties. Forward-looking statements are made based on current expectations, assumptions and beliefs as well as information available to the company at this time. A number of factors could cause actual results to differ materially from those anticipated. Further information about these risks can be found on the company's filings with the SEC. It is now my pleasure to introduce your host, Ms. Angela Kleiman, President and Chief Executive Officer for Essex Property Trust. Thank you. Ms. Kleinman, you may begin.
Angela Kleiman: Good morning. Thank you for joining Essex's first quarter earnings call. Barb Pak and Jessica Anderson will follow me with prepared remarks and Adam Berry is here for Q&A. We are pleased to report a solid first quarter that exceeded our initial expectations, and that we are raising the midpoint of our FFO per share guidance for the full year. Barb and Jessica will provide more details on the quarter, while my comments will focus on our economic outlook, the opportunities within our platform, and some perspectives on the apartment transaction market. Beginning with our outlook for the remainder of the year, we continue to anticipate modest economic growth in 2023 resulting from a more restrictive monetary policy tempering job growth nationally. Our assumptions are detailed on Page 17 of our supplemental package. As we all know, the West Coast is home to some of the largest companies to announce layoffs over the past six months. Even so, the West Coast economies have proven resilient, producing a solid job growth of 2.7% on a trailing three month basis through March. We believe there are two key factors contributing to the durability of the underlying West Coast fundamentals. First, many of the layoff workers have quickly found new jobs. And second, the vast majority of the layoff affected people who do not reside on the West Coast. For example, we continue to monitor WARN notices and, of the largest companies to announce layoffs, only 16% of their reductions have occurred in our markets. With the exception of a few specific submarkets, the overall labor market and demand for housing in the West Coast had a healthy start to the year. On the supply side, the outlook remains favorable with only about 60 basis points of total housing stock forecasted to deliver in 2023, the supply risk in our markets remain low. We expect that continued housing production challenges, such as diminished labor force and high construction costs, should lead to relatively [light] (ph) apartment deliveries for the next several years in our markets. Thus, we do not need meaningful job growth to generate modest rent growth in 2023. Since none of us have control over the Fed or the economy, our team will remain focused on what we can control, which is the continued enhancement of our operating platform. We have been thoughtfully transforming our operating model for several years, which has resulted in one of the most efficient operating platforms in the industry. Relative to our peers, Essex has the highest controllable operating margins and one of the lowest average controllable expense per unit. While the rollout of our property collections model has contributed to this efficiency, we are only midway through implementation. Our next phase of expanding this operating model to the maintenance function will maximize the workflow of our associates, including reducing tasks time and vendor costs. These advancements will enable incremental revenue growth to flow more efficiently to the bottom-line, ultimately generating additional FFO per share and dividend growth throughout all economic cycles. Lastly, turning to investment activities. We're still seeing institutional quality transactions occur from the mid to high 4% market cap rate with a deeper buyer pool towards the high end of this range. Keep in mind that the transaction market is still digesting higher interest rates, as evidenced by a significant reduction in volume of approximately 70% nationally and 60% in the West Coast in the first quarter compared to last year. In addition to the [indiscernible] volume, our cost of capital remains unattractive from an acquisition's perspective. But keep in mind that Essex has a long track record of creating value for our shareholders by arbitraging discrepancies between the stock price and the underlying asset value. Once again, we demonstrated this strategy in the first quarter, locking in significant FFO and NAV per share accretion for shareholders, which is the primary driver of raising our FFO guidance mentioned earlier. We continue to actively evaluate potential deals and are ready to act swiftly and thoughtfully when opportunities emerge. With that, I'll turn the call over to Barb Pak.
Barb Pak: Thanks, Angela. I'll begin with a few comments on our first quarter results and full year guidance, followed by an update on investment activity and the balance sheet. I'm pleased to report our first quarter core FFO per share grew 8.3% on a year-over-year, exceeding the midpoint of our guidance range by $0.08. The better-than-expected results are largely attributable to two factors that drove an outperformance in same property revenue growth: first, occupancy trended higher than we expected for the quarter; and second, net delinquencies were better than forecasted as we received $1.3 million in emergency rental assistance. As you may recall, we did not assume any rental assistance funds in our 2023 forecast. Overall gross delinquency was 2.5% of scheduled rents for the quarter, in line with our expectations. Given the favorable first quarter results, we are currently running 30 basis points ahead of our full year midpoint for same property revenue growth. However, given the macroeconomic uncertainty and the timing of recapturing delinquent units, which remains uncertain, we are holding off on changing our same property guidance range until we get further into the peak leasing season. As for core FFO, we are raising our full year midpoint by $0.03 per share, primarily related to accretion from stock repurchases completed in the first quarter and higher other income. Turning to our stock repurchases and investments. During the quarter, we sold a 61-year-old student housing community located in a non-core market. The proceeds were used to buy back the stock on a leverage neutral basis in order to arbitrage a significant disconnect between public and private market pricing. This is another example of how Essex seeks to create value in all environments while at the same time improving our portfolio. As it relates to our preferred equity book, we had little activity to report this quarter. However, for the full year, we still expect about $100 million of early redemption. Our sponsors are able to take advantage of the available financing via Fannie Mae and HUD to redeem us thoroughly. We believe the additional source of financing is one of the many benefits to being in the multifamily sector, which has, over time, helped keep cap rates low. Overall, we remain comfortable with our preferred equity portfolio, especially given how diversified it is both geographically on the West Coast in terms of -- and in terms of the average deal size. Finally, onto the balance sheet. We plan to pay off our upcoming 2023 unsecured bonds that mature May 1 with the proceeds from the $300 million delayed draw term loan, which closed last year. As such, we have no funding needs over the next 12 months. With $1.5 billion in liquidity, limited variable rate debt exposure, and access to a variety of capital sources, our balance sheet remains in a strong position. I will now turn the call to Jessica Anderson.
Jessica Anderson: Thanks, Barb. I'll begin my comments today by providing color on our recent operating results and strategy, followed by regional commentary. I was pleased with our operating results from the first quarter, including a same property revenue increase of 7.6% year-over-year. As Barb mentioned, one core factor driving these results was the successful execution of our occupancy strategy that resulted in a solid 96.7% for the first quarter, up 70 basis points from the fourth quarter. This focus began in Q4 and was done proactively in anticipation of elevated turnover from eviction. During the first quarter, we made progress recapturing units from non-paying tenants and we experienced the highest volume of eviction related move-outs to-date. The number of long-term delinquent residents has declined by 65% from our peak over a year ago, excluding Los Angeles and Alameda County. Additionally, a notable milestone in the first quarter was the ending of the eviction moratoriums in the city and county of Los Angeles, where approximately half of our delinquency resides. Given backloged eviction courts, it will take many months to recapture these units, but steady progress throughout 2023 is expected. I am very proud of the team and appreciate the tremendous amount of work that has gone into recapturing, turning, and re-leasing units. Thank you, team, great job. Throughout the first quarter, we saw positive demand indicators for the portfolio, lead volume, which reflects the number of initial inquiries into leasing an apartment and as a leading indicator of demand, was consistent with and up in some cases over same quarter last year. Additionally, concession usage has declined from approximately two-weeks free in the fourth quarter to a half-a-week free in the first quarter. We are experiencing a relatively normal ramp up to the peak leasing season. Net effective blended rates accelerated through Q1, averaging 2.9% for the quarter and ended with March at 3.8%, although they moderated in April. This was due to a temporary increase in leasing incentives to offset a period of heavy eviction volume. While April averaged 96.4% occupied, we are at 96.9% today and well positioned to absorb additional turnover while still increasing rents as demand allows. Moving on to regional specific commentary. In the Pacific Northwest, our most seasonal market, blended net effective rents were up 30 basis points in the first quarter compared to one year ago. The elevated supply in the downtown submarket is weighing on our regional performance. The supply outlook for Seattle is comparable to 2022 and similarly a more challenging second half of the year is expected. In Northern California, blended net effective rents improved to 2.6% in the first quarter year-over-year. We're seeing strength in the San Jose submarket, offset by supply driven weakness in Oakland. The supply outlook for Northern California remains relatively muted, which will benefit our ability to push rents, presuming job growth continues to outpace the recently announced layoffs. Finally, in Southern California, blended net effective rents were up 5% in the first quarter as demand remained solid. All regions have fared well to start the year, including Los Angeles. As I mentioned earlier, we're expecting elevated turnover in this region driven by eviction. In general, supply outlook in Southern California is very manageable and outside of pockets of supply in submarkets such as West LA, this market is expected to fare well. In summary, 2023 has started off slightly better than expected. Demand for apartments has been solid. We continue to make progress with evictions and our occupancy-focused strategy positions us well. We are cautiously optimistic as we head into the peak leasing season, but also acknowledge the macroeconomic uncertainty that could influence apartment demand through the balance of this year. I will now turn the call back to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Nick Yulico with Scotiabank. Please proceed with your question.
Nick Yulico: Great. Thanks. Appreciate some of the commentary on the markets and tech job exposure. I guess if you were to quantify some of the impact to markets whether it's parts of Oakland, Downtown Seattle, any other more difficult markets right now within the portfolio, how would you come up with that as a percentage of a total company?
Angela Kleiman: Yeah. Hey, Nick. It's Angela here. Good question. On the -- on our portfolio composition, big picture, we have about 20% of exposure in Seattle and 40% in Northern California and 40% in Southern California. And so when we look at the overall portfolio composition, we're actually pretty comfortable at where everything is sitting and our results have delivered, especially in Q1, the way we had anticipated. Now, there are pockets of softness. For example, I think you heard about Downtown Seattle and certain pockets in Downtown LA. And so, Downtown LA, for example, is about 2% of our portfolio. And so, in aggregate, it's not so meaningful that gives us pause. And as you can see by our Q1 results that it's -- we're generally trending well here.
Nick Yulico: Great. That's helpful. And then just a second question is I know you talked a little bit about the tracking ahead of same store revenue growth guidance right now. I guess in terms of what some of -- you could talk a little bit more about some of the offsets that could prevent the guidance raise in the second quarter. I don't know if it's the delinquent units coming back to market and how they get leased. And then, separately on the economic forecast, it sounds like the job losses are playing out better than expected year-to-date. In many cases, large tech has already come out with their announcements. So, maybe talk a little bit more about the decision to not change some of the economic forecasts as well. Thanks.
Angela Kleiman: Yeah, it's Angela here again. Good question. And it's something we debated, because you -- as you know, in Q1, jobs did track better than what we expected. Having said that, I do think that visibility this year is just more limited than past years because it's -- because of Fed's position, right? And the next Fed meeting isn't until May 1. And so, we are anticipating a mild recession, and that is a factor, and that's nationwide, of course, it's not Essex. And you're right, with the tech layoffs, especially looking at the WARN notices, we have -- we saw that peaked in January and appears to be trending down, but it's just too early to really have clear visibility on where the economy is headed. And Barb will talk about guidance.
Barb Pak: Hi, Nick. Yeah, I would say on the guidance piece, delinquency, obviously, is something that's still a little bit uncertain to predict in terms of getting units back. As Jessica mentioned, LA, Alameda, just are coming out of their eviction moratoriums. And so, the timing on when we're going to get those units back is uncertain. And so that's a factor. And we also want to get a little further into the peak leasing season given the uncertainty that Angela just mentioned. And then, we'll do a full reforecast for the second quarter. But the first quarter was very strong for us, and we feel we feel pretty good going into second quarter.
Operator: Our next question comes from the line of Eric Wolfe with Citi. Please proceed with your question.
Eric Wolfe: Thanks. I guess with respect to the stock repurchases, is there an internal limit sort of in the short term or long term, or just as long as you're able to sell assets and then buy back your stock at a reasonable discount, you'll just keep going?
Barb Pak: Hi. This is Barb. We're going to match fund, asset sales with stock repurchases, so we know what we're locking in in terms of value. We do have an internal NAV and we know where the value of our assets are. And so, we're going to be cognizant of it. We're going to be mindful of the balance sheet, liquidity, and maintain our strong balance sheet structure. And so, it's not we're just going to do it to do. We want to make sure that we're thoughtful about doing it. And what we did in the first quarter is we sold an asset that's non-core. It actually doesn't fit with our new operating model. We got a very attractive price for it. And then, we're able to take it and redeploy them buy back the stock and create a lot of value that way. So, we're going to be very thoughtful going forward.
Eric Wolfe: Right. And I guess, what I was trying to understand is just -- if you're able to sell $200 million, you're able to sell $300 million successfully, you'd be willing to repurchase $300 million? Or is there just sort of a certain point where from a G&A perspective and sticking other sort of considerations into account that it's just not as efficient for you to keep selling assets and buyback stock? And then, I guess to sort of add on to that question, for your internal NAV, are you using the cap rates that you see transact in your markets or sort of making adjustments about where it should be based on debt cost? Because I think the theory of that it's a pretty thin transaction market right now. So, the cap rates we're seeing may not be sort of reflective of where things would transact if they had to.
Barb Pak: Yeah. Our NAV is based off of -- Adam and I sit down and we talk about where transactions are happening and where we think we could sell our assets today, and based off of what is happening and negotiations that are going on behind the scenes. And so, we feel like we have a good pulse on the market. We have sold assets over the last several years and proven out the value for the portfolio. And so that is the process on the NAV side. And we're very comfortable transacting and selling and then buying back the stock.
Eric Wolfe: Okay. Thank you.
Operator: Our next question comes from the line of Steve Sakwa with Evercore. Please proceed with your question.
Steve Sakwa: Hi, thanks. Good morning. I guess maybe for Jessica, I was hoping you could speak a little bit to the blended rates that you talked about. I think in April you said maybe there were some impact from the eviction. So I'm just hoping to see if you could quantify that, because I think amongst all your peers, you might be the only one that showed a decline in April. So just trying to get a sense of the magnitude of that and maybe what your expectations are for May and June.
Jessica Anderson: Hi, Steve. Yeah. The -- overall those numbers -- those blended numbers that we're looking at, those are net effective trade out numbers. And so, I think it's important to point out, as I mentioned in my prepared remarks, that through March, so they grew sequentially throughout the quarter. So April really reflected a point in time pricing strategy rather than underlying market fundamentals. And we've expected with the evictions, we're working through quite a few. And they do come to us in a steady stream, but we do anticipate that there might be some concentrations from time to time. And so that's what's really driven our occupancy-focused strategy. And you really saw that play out with our April occupancy number. We had floated down after seeing a concentration in March to 96.4%. But ultimately when we start -- when we think about as far as the market and how they're progressing through the seasonal ramp up and the strength there, we really look at our market rent, which is essentially the -- our gross recently achieved leases. And since the beginning of the year, we have seen our market rates grow sequentially through April in all of our markets. And so, those net effective trade outs and of course incorporate concessions and again really reflects a point in time. So, we saw really great activity in April and we were roughly one-week free as far as concessions go. And we've since pulled back to only a couple of days today on average. And breakdown by market, we're actually sitting at 97% in Seattle, 97% in Northern California and then 96.8% today. So, ultimately, we're pulling back on the concessions. There might be a little bit of a spillover into May, and we expect the trade out rates to reaccelerate from here and then also market rents to continue to grow.
Steve Sakwa: Thanks. And then, I guess maybe as a follow-up, just to get a little more color on Seattle. I mean some of your peers had maybe a bit more weakness and spoke to the weakness specifically in Downtown Seattle. I know that you have probably more East side exposure. But just any thoughts around Seattle in particular? And does Amazon's kind of May 1st return to office policy have any influence or have you seen any influence from that? Or do you think people were sort of already back in the Seattle market? Or do you think there's a wave of people to come back to the market in the near term?
Jessica Anderson: I think, yes, overall for Seattle -- and we have a pretty conservative outlook for Seattle this year. And as I mentioned that I think it will be more challenging in the back half as we experience more supply. And we've been experiencing that really for the last six months. But interestingly, yes, in April, we did see quite a bit of movement from a leasing velocity perspective. So I do feel like that May 1st return to -- mandatory return to office three days a week for Amazon potentially had an impact for us. And as far as strength goes, I mean anytime you introduce leasing incentives or adjust your rates, how the market responds and the leasing velocity you're able to get is really telling. And so we weren't necessarily getting 97% in Seattle. So that really goes just to show that there is some underlying strength there. And so I think Amazon did play out. But again, we have a pretty conservative outlook and we're certainly seeing the impacts of demand with the diminishing of the hiring with Amazon and Microsoft. Last year having July, August 30,000 open positions that essentially disappeared in a matter of a month or two. And then, obviously, we have the supply factors. We have both things working [against us] (ph). But, we're encouraged and I think Seattle is on track with our expectations for the year.
Operator: Our next question comes from the line of Austin Wurschmidt with KeyBanc. Please proceed with your question.
Austin Wurschmidt: Great. Thank you. Sort of going back to the stock buyback conversation, I guess in sort of the sources and uses or match funding, any future repurchases, are you guys currently marketing any additional non-core assets today?
Adam Berry: Hey, Austin. This is Adam. Apologies. So at the moment, we are not actively marketing anything. We're always opportunistically looking at potential for disposing of assets that are either non-core or in non-core markets. And this is how [indiscernible] deal we sold last quarter, that's how that came about. But currently no, not marketing anything right now.
Austin Wurschmidt: Got it. And then just going back to guidance a little bit. I mean, you mentioned a couple components of driving the same store revenue outperformance in the first quarter. First, which is obviously a non-recurring item in the ERA payments. Have you received any additionally ERA payments in the second quarter? And then, second, with the dip in April, I guess how is April trending relative to plan? Is it offsetting some of the benefit you had in 1Q? Or is April occupancy and rents also trending ahead of plan? Thank you.
Barb Pak: Yeah. This is Barb. On the Emergency Rental Assistance payments, in April, we had a $100,000 in our same store portfolio, so nothing material. And that is disclosed in our supplemental. And then in terms of factors in the April guidance, the one thing I would say is that for delinquency, we did assume the first half of the year would be in the mid 2% range, 2.5%. And then the back half, we expect continues to trend down to close to 1.5% and 2% for the full year. So we're on plan with delinquency in April, and then occupancy at 96.4% is generally in line with plan as well.
Operator: Our next question comes from the line of Jamie Feldman with Wells Fargo. Please proceed with your question.
Jamie Feldman: Great. Thank you. I was hoping to shift gears to the expense side. Can you talk about just the key line items in expenses? There's been a lot of volatility for insurance for people and taxes. Just kind of what gives you conviction on your current outlook for the different expense lines? And where do you think maybe there might be some risk either the upside or downside of the growth rates?
Barb Pak: Yes, this is Barb again. So on the expense side, I think the biggest variability we're seeing is really maintenance and repairs, because we have more turnover, we had some more flood damage this quarter. So that's kind of one time we don't expect that to reoccur, but we do expect the turnover to be a reoccurring item given evictions. I would say, on the insurance, we've already done our insurance renewal for the year. So that line is pretty baked and we don't expect any surprises from here on out. It is up 20%, but that's going to be the number for the year. And then, on the tax side, we do have the benefit of Prop 13, and so -- which is 80% of our tax base. And so that is pretty well known. We'll know Seattle taxes here in the second quarter and then really have that drilled in. And so for us, the variability on expenses is mostly just tied to R&M. And then utilities, the one thing on utilities is it can be variable. We did -- we've put in place some gas hedges, which has helped us on the utility expense side. And so, it's kept at to a more moderate level, all else being equal.
Jamie Feldman: Okay, thanks, Barb. And then, Orange County seems to have come through this quarter pretty well across most portfolios, including yours. Can you just talk more about what's going in that submarket specifically?
Barb Pak: Yeah. As far as Orange County goes, it is -- it has performed well. For the last couple of years, we were seeing good trade out numbers, good leasing velocity. It's really stable as far as the supply outlook. There's nothing noteworthy there as well. So, overall, Orange County is pretty stable as a lot of our Southern California markets, San Diego is similar as well.
Operator: Our next question comes from the line of John Kim with BMO Capital Markets. Please proceed with your question.
John Kim: Thank you. Barb, can just elaborate a little bit more on the real estate taxes? You had the rare decline in taxes. And I think you mentioned last quarter you were budgeting 4.25% increase. And given real estate taxes are the largest components of OpEx and insurance came in pretty much where you expected, is there the likelihood of your expense guidance going down during the year?
Barb Pak: John. So, on the tax line, it really deals with the comp issue from the first quarter of last year. So, in Seattle, if you recall, we did have a favorable surprise last year where our real estate taxes went down 4%. We didn't know that until the second quarter. The first quarter of last year was our budget and what we assumed taxes would be. And so it was way too high. so we're comping off of a really easy comp, and that's why you see the negative 1.6 on the tax line. We -- like I said a few minutes ago, we'll know where Seattle taxes come in, in the second quarter when we pay the bills. And so, that's still TBD. We're still assuming 4.25% overall for the tax line for this year. It's really just a comp issue in the first quarter.
John Kim: Okay. I mean I saw last year's first quarter wasn't that high, that was like 3%. But anyway, my second question is on your mezz opportunities. It seems like with regional banks having issues that could be a part of the capital stack where you could see more opportunities at higher yields. And I'm wondering if that's the case and how you would stack that up versus buybacks.
Adam Berry: Hi, John. This is Adam. So over the last couple of months, we've seen, I would say, a slight uptick in possible opportunities come in the mezz and pref world. As you said, some of the lending sources out there have either tightened or disappeared entirely. It remains to be seen if this new wave that we're seeing will actually translate into deals. There are legacy development deals that have been out there a while. There are some new, actually existing deals that we're seeing as well. But again, this process takes a long time and several months. And so, we're assessing a number of new opportunities, but very too early to tell how many of them translate into actual deals. But we'll always -- we'll continue to look at potential options when we have liquidity, whether that's through dispositions or redemptions, what the best use of that capital is.
Operator: Our next question comes from the line of Brad Heffern with RBC. Please proceed with your question.
Brad Heffern: Yeah. Hi, everybody. Thanks. So the big tech layoffs have already been touched on, but I'm wondering what effect, if any, do you think the SVB failure and the associated impact on tech company funding they have on your residents. I know you typically talk about a relatively small exposure to big tech in the resident base, but I'm curious if you think that applies to start-ups as well.
Angela Kleiman: Yeah. Hey, Brad, it's Angela here. With the SVB failure that occurred recently, we did not see any impact to our portfolio. And so, looking forward, obviously, we don't know what can happen. But we do know that the parent has filed for bankruptcy. But its subsidiary, which SVB has -- the Fed stepped in and then it's been sold. And so we certainly don't expect further disruption from that. And just looking at some anecdotal information, looking at the 30-plus companies in our real estate technology ventures, there's no impact there either. So, as it relates to kind of a broad banking sector, it could -- it may play into more a broad economy conversation. And for those -- that's one of those reasons that we are forecasting a mild recession in our current expectations.
Brad Heffern: Okay. Got it. Thanks for that. And then maybe for Barb, another one on the guide. The increase to the guide was smaller than the beat versus the first quarter midpoint guide. I know you mentioned that most things are outperforming, and then you had the repurchase as well, but it seems like there was some sort of offset for the rest of the year, second quarter to fourth quarter. So, can you talk about what that is?
Barb Pak: Yes. So, the vast majority of the beat in the first quarter was really tied to same-store revenue growth, and we didn't change our revenue outlook. And so that is not carried forward through in the guidance. So that was $0.07 of the $0.08 beat. The reason we changed our guidance was the stock repurchase, which will carry forward, that's $0.03. And then, we also have higher other income, mostly tied to better rates on our cash management platform and how we're managing our cash and our marketable securities. And then, it's partially offset by lower co-investment tied to preferred equity redemptions and the timing of those redemptions. So that's what was updated in the guidance. Same-store will be revisited here in the second quarter.
Brad Heffern: Okay. Thank you.
Operator: Our next question comes from the line of Adam Kramer with Morgan Stanley. Please proceed with your question.
Adam Kramer: Hey guys. Thanks for the question. Just wanted to ask about -- look, I know we touched on kind of tech and SVB. Maybe asking the same question a little bit differently, which is just on kind of severance packages. I know some of the early layoffs last year, maybe some even -- later in the year, have longer severance packages, right, and so maybe you wouldn't kind of see that change in resident behavior right away. Wondering if maybe since some time has passed since then [indiscernible] many differences in resident behavior kind of given the severance packages that may be expiring now?
Angela Kleiman: Yes. It's Angela here. The severance packages can range up to three months. Having said that, given the bulk of the layoff announcements that occurred back in January and tenants behavior, they tend to make decisions, say, 45 days to 60 days in advance for major events. We -- what our expectation is that we've seen that play through our portfolio. We've digested it already. And once again, I kind of want to point to the job growth numbers as a good indicator. But the other good indicator is the initial unemployment claims in California and Washington. And today, they still remain below the 15-year average. So that's another good data point there.
Adam Kramer: That's great. That's all super helpful. Maybe a follow-up. I think you guys have done a really good job of kind of bringing us into your minds when it comes to kind of managing occupancy versus pushing rents I think both on this call and in prior calls. Maybe just kind of on a go-forward basis, walk us through kind of that trade-off, right? I know you mentioned concessions now lower than they were earlier in April. Walk us through maybe just kind of how you're thinking about that trade off now, given kind of the demand screen today, right, how you're thinking about kind of managing occupancy versus pushing rents?
Jessica Anderson: Hey, Adam, this is Jessica. Yes, so we're progressing through the peak leasing season. And of course, we're always going to be opportunistic with a focus on maximizing revenue. I think overall, with our outlook for the year, I think we'll probably spends the bulk of the year focused on occupancy based on -- we know we're going to continue to have to work through evictions. But also rent growth is moderating. And when you think about as far as rate growth, any time you're turning an apartment, you're experiencing the turn costs and the cost of vacancy. And so you really have to be getting some really strong trade out numbers to make it make sense to be focused on rate over occupancy. But certainly, we'll monitor the markets closely. And just like we pulled back concessions at the end of April and leaving us well positioned for the peak growth period that typically occurs in Q2, we certainly have opportunities again to maximize revenue overall.
Operator: Our next question comes from the line of Alexander Goldfarb with Piper Sandler. Please proceed with your question.
Alexander Goldfarb: Hey, good morning out there. So two questions. First, just going back to Silicon Valley. Let me ask the question this way. You guys mentioned that you anticipate the $100 million of debt and preferred equity being taken out this year and that the owners of properties have capital options in Fannie and Freddie. So, are you saying that what's going on in banking and where we see people, lenders pulling back from real estate loans, that's having no impact on your debt and preferred equity portfolio? Or is it just this $100 million that you're slated for being taken out is fine, but broader speaking, there are bank fallouts to the debt and preferred equity business?
Barb Pak: Hi, Alex, it's Barb. What I was speaking to is that there is still capital available in the multifamily space. I know in other sectors, it's just definitely pulled back, and I definitely think the banks have pulled back. But the government financing is still available. Life insurance companies are stepping in. And I think you're seeing other lenders step in. And in our preferred book, keep in mind the deals that we're getting taken out of, they were underwritten 2019, 2020, a long time ago when cap rates were in the mid 3.5%, and so we can get fully taken out. And so I think they're good situation for us. And we haven't seen any real issues within our own portfolio. It doesn't mean that it's not happening elsewhere. But in terms of distress in the whole market, we haven't seen that in a significant way on the West Coast.
Alexander Goldfarb: Okay. The second question is going back to supply. It sounded like the only market that was an issue is Seattle, and I'm assuming that's Seattle Downtown, not the suburbs. But in general, as you look at your portfolio into next year and the year after, do you see supply coming down everywhere, like Northern Cal is clearly that's been a pullback. But do you see any area where there's going to be a deluge of supply that's going to deliver next year? Or as you look across your portfolio, whatever this sort of is the peak and next year should be less supply across your markets?
Angela Kleiman: Hey, Alex, it's Angela here. It's a good question. I'm trying to figure out looking ahead, what's happening here. In terms of our portfolio, just big picture starting this year compared to last year, overall supply is slightly down. But the vast majority, as you pointed out, is Northern California is down over 20%. And Southern California is up slightly about 14%, and the bulk of it is in the Downtown LA and then some of these other West LA, certain other markets. But overall, of course, that supply number is quite muted. As we look forward to 2022 -- 2024, what we're seeing preliminarily [indiscernible] landscape. And so not a huge drop-off, but similar level. But keep in mind, we're already operating at a pretty darn down low level, right? I mean total supply as a percent of total stock is only 60 basis points. And so, we do foresee that to continue especially given the environment of much more challenging labor force available and higher construction costs. And lastly, rents in the northern region haven't moved significantly past pre-COVID. So, Northern California is still slightly below pre-COVID level. And so, it didn't surprise us that Southern California supply picked up slightly this year. And I think you kind of see that throughout the country where you have significant rent growth that's where supply will occur. So that's the big picture of our overall this year and next year, similar levels and it's going [indiscernible] in our markets.
Alexander Goldfarb: Okay. So, just to clarify, Seattle, it is just Downtown Seattle, that's the issue, right?
Angela Kleiman: Seattle overall is slightly down, but Downtown is up.
Alexander Goldfarb: Okay.
Angela Kleiman: So, yes.
Alexander Goldfarb: Thank you.
Operator: Next question comes from the line of Anthony Powell of Barclays. Please proceed with your question.
Anthony Powell: Hi, good morning. Going back to the share buybacks, do you have a number of assets or a dollar number in terms of non-core that you would sell? And if you were to get offers on core assets at those 4% to high 4% cap rates, would you opportunistically sell those to buy back stock accretively?
Adam Berry: So, on the first -- hi, Anthony, this is Adam. The first part of your question, do we have a list of non-core assets, the answer is yes. And we're constantly having discussions and going through those to see where they could potentially sell and what we could do with the proceeds. As to the amount with which we can buy stock back, there are challenges always with dispositions. There's always the different ramifications of tax gains, Prop 13. So all of those are taken into account when we assess what we can do with those proceeds. There's also another tool in the shed is to use 1031 exchanges to exchange out of non-core assets into markets that we think will overall affect the portfolio in a positive way.
Anthony Powell: Okay, thanks. And maybe more broadly, it sounds like you're a bit more optimistic on kind of the West Coast markets recovering this year despite the layoff activity. Does this make you -- does it just reinforce your view on the West Coast has the best use of capital, the best place to invest? Or would you still consider maybe diversifying into the East Coast or Sunbelt as we've talked before about in prior calls?
Angela Kleiman: Yeah, hi. It's Angela here. On the diversification question or expanding outside of West Coast, it is something that we have been disciplined about evaluating. And so that -- just that basic discipline has not changed. We're going to continue to monitor those markets and look for opportunities. But back to your original point, I think you hit the nail on the head, especially as it relates to Northern California, a couple of things going for our markets where we have the lowest supply deliveries and especially Northern California supply is down 22%. We're just starting to rebound in terms of job growth, getting jobs -- numbers getting back to pre-COVID levels and market rents still below with gradual improvements. We're in the best affordability position from a rent-to-income perspective in the northern region, below long-term average. And so that would point to all the best growth prospects. On the just broad picture on the migration front, and we all experienced meaningful net migration during COVID, while the migration landscape has been improving gradually as well. And so, you put together all those pieces [indiscernible] point to that where we want to deploy our dollar, where we see the most upside ahead of us, it's in the West Coast.
Anthony Powell: All right. Thank you.
Operator: Our next question comes from the line of Wes Golladay with Robert W. Baird. Please proceed with your question.
Wes Golladay: Hey, everyone. I just want to get your view on maybe starting developments with the hopes of delivering into our better part of the cycle.
Adam Berry: Hi, Wes. This is Adam. It's -- the development landscape today is challenging for a number of reasons. Angela has pointed to a few of them. With a challenging labor market, construction costs have remained elevated. And so when solving for a, call it, 20% premium over where market cap rates are, it just -- it basically will lead to a lower land price than landowners are willing to go. So, sure, we would love to be delivering into a lesser supply market, but right now, it's just the development deals just don't cancel.
Wes Golladay: Got it. And can you remind us, don't you have a few covered land place? Or did you get rid of those?
Adam Berry: We do, yes. And those are still generating active revenue. And now with some, we're pursuing entitlements in the meantime, so parallel processing and others have just longer-term lease commitments.
Wes Golladay: Okay. And then could you talk about maybe the demand from people that currently have H1B visa? Do you view it as maybe a potential positive with more people getting visa or with tech layoffs, maybe you might lose a few people?
Angela Kleiman: We actually see the international part to be a tailwind for us, because it's just starting. And so I think it's no surprise that historically, California has a net out-migration if you only look at domestic numbers. In fact, 17 out of the last 20 years, it's net out-migration domestically. And even during those periods, we had meaningful rent growth acceleration. So the international component is what drives migration to become positive for California. And that virtually disappeared. I mean it was zero during COVID. And so that is just starting to come back. And so we are hopeful that will be additive to the demographics piece.
Operator: Our next question comes from the line of Michael Goldsmith with UBS. Please proceed with your question.
Michael Goldsmith: Good afternoon. Thanks a lot for taking my question. My question is about migration. How is demand from customers -- how has demand been from customers currently living outside Essex's market? And how does that compare with normal? And then also the other side, have you seen increased or decreased move-outs to non-Essex markets?
Angela Kleiman: Yes, that's a good question. Compared to the migration from outside of Essex markets, we are generally -- just domestically speaking, of course, we're generally back to pre-COVID levels. And so that's a good thing. And with -- of course, with the international, we do see that's where the tailwind is. As far as the out-migration piece, when we look at the migration numbers, we look at it on a net basis. And so we're continuing to see gradual improvements.
Michael Goldsmith: Got it. And my follow-up, we talked a lot about tech layoffs, but have you seen any specific changes in the reasons for move out?
Angela Kleiman: Yes. We really haven't. I mean, we've track, of course, the usual move-outs to purchase a home that's below the long-term average, move out for jobs, new jobs or transfers or loss on that one bucket. And in totality, it's generally in line with historical norms. And so what I think is happening is what we're seeing, which is that the job losses are being quickly absorbed and benefited by that gradual in-migration on a net basis.
Operator: Our next question comes from the line of Chandni Luthra with Goldman Sachs. Please proceed with your question. Chandni Luthra, your line is live.
Chandni Luthra: Sorry, I was on mute, sorry about that. Could you give us any thoughts around the RealPage issue? Any changes you are making to your operating platform considering those dynamics? And then how are you thinking about the rolled-up class action suit?
Angela Kleiman: Hey, Chandni, it's Angela here. We actually have been reducing our usage of RealPage as we develop our new revenue management system over the past several years. And so, we started as well before the RealPage lawsuit for the reasons that Jessica mentioned earlier. So, we believe that their claim is without any merit, and we're very confident about our defense prospects.
Chandni Luthra: Great. And as a follow-up, and sorry if I missed this, but what was gross delinquency in the first quarter? I believe net was 2.1%. And then as we sort of think about delinquencies improving faster than expected with eviction moratorium going away and the process becoming easier, could there be upside to that 2% growth delinquency numbers that you laid out earlier?
Barb Pak: Hi, Chandni, it's Barb. So in the first quarter, gross delinquencies were 2.5% versus the reported number of 2.1%, so 40 basis point improvement tied to Emergency Rental Assistance. And then for the outlook for the year, the 2%, we're still holding to it. I think LA and Alameda just come off. It's really going to depend on how quickly the court move on these evictions. It's taking six-plus months right now. And so that really is going to depend how quickly either people go through the whole eviction process or whether they just skip. And that's a little unknown at this point. I think in the next few months, we'll have a better visibility on that.
Chandni Luthra: Great. Thank you for the detail.
Operator: Our next question comes from the line of John Pawlowski with Green Street. Please proceed with your question.
John Pawlowski: Thanks. Maybe just a follow-up question to that bad debt topic. Barb, just one question on the longer-term bad debt profile of your markets. Based off the current trajectory of gross delinquencies and just the payment behavior that you're seeing among tenants, do you think when the dust settles, bad debt actually settles out at a structurally higher level versus pre-pandemic behavior? And if not, when is your best guess on when bad debt does get back to pre-pandemic levels?
Barb Pak: Yes, John, it's a great question, something we talk about internally a lot. We historically have been at 35 basis points pre-COVID. We believe we will ultimately get back there because there won't be any loss to protect tenants like there was during COVID, which allow tenants to have this behavior. And so now that we're coming out of all of the moratoriums, I think the City of Oakland is the only one that really remains, we think we will get back there. But it's going to take until into 2024 to get there. And it won't be -- for the full year of 2024, it's going to take into that year because of the eviction process and how long it's taking. But structurally, we don't believe that there will be a fundamental shift in delinquency and our long-term trends will go up because of COVID.
John Pawlowski: Okay. In your unregulated submarkets within the portfolio, has bad debt reverted fully back to pre-COVID levels?
Barb Pak: I don't think we -- no, I don't think we've gone back fully to pre-COVID levels in our other markets. As Jessica said, in the call or in our prepared comments that we've gotten over 60% of our long-term delinquent residents out over the past or since the start of 2022. So, we're making good progress, but we're not fully back to where we should be at this point.
John Pawlowski: Okay. And then last question for me is more of a regional question for Angela or Jessica. If you start the clock today, which region do you think would generate the highest and lowest revenue growth for the next two or three years, Seattle, Northern California or Southern California?
Angela Kleiman: It's Angela here. I'll start, and Jessica, welcome to add. In terms of the upside or the most revenue growth, we definitely see Northern California being in the top of that list followed by Seattle and then Southern California. And both for -- with Northern California because of, as I said earlier, the job growth is just getting back to pre-COVID levels, market rents are still below pre-COVID, but it has been gradually improving. It has the lowest level of supply deliveries relative to our other portfolio and the best affordability position. And so that -- for those reasons, it's ranked number one. And Seattle for similar reasons, but it does have a higher supply, and then it's more volatile or more seasonal. And so -- which means that -- so with Southern California coming in last, not because we don't like it, it's just because it's just done so well. I mean it's 15%, in some cases, 20%, 30% rent growth above pre-COVID. And we're starting to see some supply pressure, which -- it's still in check relative to the rest -- the U.S., but relative to our markets, it's starting to creep up. And so that's the order of the ranking. Jessica?
Jessica Anderson: No, nothing to add.
John Pawlowski: Agreed.
Angela Kleiman: Okay. Good. Glad you agree.
Operator: Our next question comes from the line of Haendel St. Juste with Mizuho. Please proceed with your question.
Barry Lou: Hey, it's Barry Lou on the line for Haendel St. Juste. I just want to have a quick follow-up on the regulatory question. So, I was wondering if you could provide any color on the $8.5 million in legal settlements added back to your core FFO. Wondering if that's from one big settlement? And if there's any piece of that, that will trickle into future quarters? Thank you.
Barb Pak: This is Barb. It was primarily related to a legal settlement for construction defect at one of our properties, and there's no carry-forward on that. That was just a one-time item that occurred in the first quarter. It was paid in cash. So that's done.
Barry Lou: Got it. Thanks.
Operator: Our next question comes from the line of Joshua Dennerlein with Bank of America. Please proceed with your question.
Joshua Dennerlein: Yes, thanks for the time, everyone. I just wanted to touch base on the new revenue management software you rolled out at the start of the year. Just curious to kind of hear your experience as you're using that now, and how it's trending versus your expectations, and just -- maybe just the capabilities versus your old software?
Jessica Anderson: Hi. This is Jessica. Yes, things are going very well. We're very pleased with the platform thus far, and we have a long development pipeline for that revenue management system. So, all is going well. I mean a couple of benefits to point out that we're looking at is in alignment and allows us to price at a portfolio level with our property collections model versus the commercially available systems you're often pricing at the property level. And then second, we also see, as far as long-term development, the ability to optimize our amenities. So when you look at like our average rent, it's $2,600 and good $200 of that is actually fixed amenity values. And again, with your commercially available systems, that portion of the rent is not optimized. And so if you look at that on an annual basis, what that is for us is over $100 million that's not optimized. So that's one opportunity we also see moving forward with the system. So there's a few value-add opportunities to give you a couple of examples.
Joshua Dennerlein: Okay. Thanks, Jessica. Maybe just one follow-up on that. What exactly do you mean by like price of the portfolio level? And like what's the benefit to having it done that way?
Jessica Anderson: Well, when you're looking at, we have a high geographic concentration. And so when you're pricing properties individually, sometimes you can be kind of cannibalizing yourself based on the occupancy position at a property. And so, when you're looking at an entire portfolio collectively one-bedrooms, two-bedrooms, ultimately, you can maximize revenue through a more stable approach to rents and the balance with occupancy.
Joshua Dennerlein: Appreciate that. Thanks, Jessica.
Operator: Our next question comes from the line of Linda Tsai with Jefferies. Please proceed with your question.
Linda Tsai: Hi. Thanks for taking my question. Just one on the job market. To the extent that job growth has fully recovered to pre-COVID, WARN notices are below average, and that laid off people are finding jobs quickly again, do you have a sense of what industries people are getting hired to?
Angela Kleiman: Yes. In our markets, well, in the northern regions is, of course, more tech centric. But in the Southern California, it's more service driven, leisure and hospitality. It's much more diversified and mirrors that of the U.S. broad economy with more professional services and, of course, higher income levels.
Linda Tsai: Are the -- is the tech hiring from the ones that are also laying off, or is it more diversified?
Angela Kleiman: It's more diversified.
Linda Tsai: Got it. Thank you.
Operator: There are no further questions in the queue. This does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.